Chiu-Lien Huang: The Company has been implementing a rotating CEO system for over a year. It is now in its second term, with the overall operation getting more and more on track. To align with the Group's spirit of division of labor, sharing, and collaboration, we are inviting the Rotating CEO to participate in investor conferences starting this quarter, so that the CEO can engage directly with everyone. I would like to take this opportunity to update you on the schedule for our quarterly investor conferences in the coming year. The Chairman will share with you a review of the year and an outlook for the following year in March and November each year as usual. The mid-year investor conferences in May and August will be chaired by the rotating CEO. Rotating CEO Kathy Chiu-chin Yang took over the position at the end of March of this year and is now also serving as Chief Campus Operation Officer, overseeing the integration of global campus operations. Amidst the pressures of geopolitical change, we rely even more heavily on Kathy's expertise in supply chain management to complete the Group's global layout. Next, I will report on Hon Hai Precision Industry's operational performance for Q2 of 2025. Please refer to page 5 for 2025 Q2 financial statements. Q2 revenues reached TWD1.79 trillion, representing a 16% increase YoY and a record high for the same period of previous years. In US dollars, this represents an approximately 18.6% YoY increase. Regarding the three profit margins, gross profit margin was 6.33%, representing a decrease of 0.09 percentage points YoY, primarily due to exchange rate fluctuations. Operating profit margin was 3.16%, representing an increase of 0.28 percentage points YoY, primarily due to a lower expense ratio. This was due to the 16% revenue growth this quarter while expenses only increased by 4%. Overall, operating profit performance was in line with our expectations at the beginning of the year that the full-year performance would be similar to that of last year. Net profit margin for Q2 was 2.47%, representing an increase of 0.21 percentage points YoY. EPS for Q2 was TWD3.19, representing an increase of TWD0.66 YoY. Next, we have on page six the balance sheets. As of the end of June 2025, the Company had TWD870.5 billion in cash and TWD243.6 billion in net cash, representing a decrease of TWD164.9 billion from the end of June last year. This decrease was primarily due to exchange rate fluctuations, increased working capital demands driven by revenue growth, and a TWD14.1 billion increase in capital expenditures compared to the same period last year. Cash conversion cycle for the quarter was 48 days, which was 2 days higher than the same period last year, primarily due to a corresponding increase in accounts receivable and inventory driven by significant revenue growth. Furthermore, the debt ratio was 61%, representing an increase of 4 percentage points from the same period last year, primarily due to an increase in accounts payable and borrowings caused by revenue growth. Finally, on page seven, we have the consolidated statements of cash flow. As of the end of June 2025, cash flow from operating activities amounted to TWD21.9 billion, representing a decrease of TWD21.9 billion from the TWD43.8 billion inflow in the same period last year. This decrease was primarily due to the continuous increase of new products being pulled in for matching with customer inventory preparation. Free cash flow was a net outflow of TWD55.3 billion, representing a TWD36 billion increase compared to the same period last year. This was primarily due to three factors: first, capital expenditures were TWD77.2 billion, which was an increase of TWD14.1 billion compared to the same period last year; second, cash flow from operating activities decreased by TWD21.9 billion compared to the previous year. The above is a brief presentation on the financial statements for Q2 of 2025. Now, I would like to turn the time over to Rotating CEO Kathy.
Kathy Yang: Next, I will provide a performance review of Q2 and an outlook on Q3 and the full year. I will also share the major business development that you all have been very interested in. Please join me as we move into the first part of our report. First, let us look at the overall performance in Q2. Revenue reached a record high for the same period of the year, with significant growth compared to the previous quarter. Overall, the performance was broadly in line with our expectations. Compared to the same period last year, I think we can describe it as "strong growth," exceeding our expectations. When measured in US dollars, the overall performance was even stronger, reflecting our growth momentum and operational resilience. From a product mix perspective, driven by strong growth in AI servers, the overall share of Cloud and Networking Products reached 41%, increasing significantly by 9 percentage points compared to the same period last year. Cloud and Networking Products performed very well in Q2, surpassing Smart Consumer Electronics Products for the first time, further improving our product mix. Looking at the four product categories, Smart Consumer Electronics Products performed better than expected QoQ. Components and Other Products also performed better than expected YoY, but Computing Products lagged slightly behind expectations compared to the same period last year. In terms of overall profitability, our Q2 revenue, operating profit, and net profit after tax all set new all-time highs. This further demonstrates Hon Hai Precision Industry's strong operational resilience as it leveraged its robust strategic planning and flexible adaptability in the face of uncertain external factors, continuing to deliver stable and growing operational results. Next, let me explain our outlook for Q3 of this year. Artificial intelligence (AI) has been the primary growth driver this year, and with ICT products entering their peak season in the second half of the year, orders and shipments are gradually picking up. Looking ahead to Q3, overall operations are showing significant growth compared to both Q2 and the same period last year. However, we must closely monitor the impact of tariffs and exchange rate fluctuations. In the following, I will explain the performance of these four product categories in detail. The first one is Smart Consumer Electronics Products. We have already begun gearing up for new products, so we expect Q3 to have an even stronger growth than the previous quarter. Because this category encompasses a wide range of products, volume is roughly flat compared to the same period last year. However, due to exchange rate fluctuations, overall sales are expected to decline slightly compared to the same period last year. The second one is Cloud and Networking Products. With the gradual increase in volume of AI server racks and the continued strong demand for general-purpose servers this year, we expect this product category to maintain strong growth and remain our largest revenue driver this year. Let us look at Computing Products. The demand for these products in Q3 was even stronger than we saw at the last investor conference. New product launches in Q2 and the same period last year, coupled with inventory being pulled in advance due to tariffs, created a relatively high base period, leading to a slight decline in Q3 performance. In the Components and Other Products segment, our primary business is related to component shipments. I believe this will increase, leading to significant growth in this product category both QoQ and YoY. The above information pertains to Q3. Now, let us move on to our full-year outlook. First, our outlook for maintaining significant growth for the full year remains unchanged. However, exchange rate fluctuations may impact revenue converted into Taiwanese dollars. Furthermore, tariffs, geopolitical factors, and changes in global monetary policy may introduce uncertainties into the overall economic landscape. Therefore, considering these factors, we are taking a cautious approach to our outlook for this year. Regarding the outlook for our four major product lines, I believe there is no doubt that Cloud and Networking Products will remain the primary and highly anticipated growth driver. AI Server Products also have a good visibility. Smart Consumer Electronics Products, as well as Components and Other Products, are impacted by exchange rate fluctuations, and I anticipate a slight downward adjustment to the full-year outlook. That for Computing Products will see a slight upward adjustment, primarily reflecting slightly better-than-expected demand in Q3. Consequently, the full-year decline will be less than previously forecast. Over the past three months, the overall business environment has undergone significant changes, and everyone is very concerned about Hon Hai Precision Industry's strategic planning. Next, let me explain several major business developments. I believe that you are particularly concerned about these major business developments, so I will explain it. Let us first look at the AI Server business, which is of particular interest to the market. As you can see from my presentation just now, AI server continued to have strong performance in Q2 of this year, with YoY growth exceeding 60%, fully demonstrating the rapid growth and industry momentum of AI computing. Looking ahead to Q3, we expect AI server revenue to increase by over 170% YoY, with server rack shipments expected to triple QoQ. What does this mean? It means our customers continue to have a strong demand. Therefore, based on current market demand, AI server-related revenue for the full year will exceed [TWD]1 trillion. Furthermore, I think you have noticed that several major clients have recently emphasized in their investor conferences that investments in AI infrastructure will continue to expand. We believe that these related capital expenditures are expected to continue through 2026 and beyond. These signals represent and reinforce our view that AI is not just a passing fad, but a true industrial revolution. It is a structural, long-term growth trend. We also expect market demand for high-performance computing power to continue to grow. As a world-leading technology manufacturing service platform company, Hon Hai Precision Industry will continue to help our customers expand their AI infrastructure. I think our goal is very clear: In this wave of AI, we want to help our customers seize this wave of rapid growth opportunities. To further strengthen our AI infrastructure footprint, as I am sure everyone is aware, we announced a very important collaboration at the end of July. This marked our first-ever capital increase through share exchange alliance with TECO. This is a highly beneficial partnership that leverages both parties' strengths and complements each other’s resources. We will make use of TECO's electromechanical capabilities to build a more complete and competitive modular data center, or what we call a one-stop MBC solution, at a faster pace. In response to the rapidly growing demand for AI computing power in the US market, we will utilize our Ohio campus to expand into the manufacturing of Cloud and Networking Products. This investment will further strengthen Hon Hai Precision Industry’s position in the global AI industry and demonstrate our strong partnerships and comprehensive global presence. I also want to emphasize that Hon Hai Precision Industry’s strong competitiveness in the AI field today stems from our core strengths accumulated over a long period of time in the ICT industry. This foundation stems from our vertical integration capabilities and continuous investment in research and development (R&D). This has enabled us to establish significant competitive advantages across various sectors, including servers, data centers, and end products. These competitive advantages have undoubtedly solidified our market position and, along with our capabilities for long-term commitment, deepened our relationships with customers. Therefore, I believe we will continue to develop our capabilities in this area. In addition, our economies of scale and global layout also enable us to respond quickly and seize opportunities in the AI trend, expanding the application of AI from cloud infrastructure to edge computing and diversified AI terminal products. In short, Hon Hai Precision Industry’s core competitiveness is the key to our full participation in the AI era and our commitment to ensuring our continued presence. We have a very powerful engine, and Hon Hai Precision Industry will be one of the leaders in this wave of AI trend. Next, let us discuss the latest progress in our electric vehicle (EV) business. First, regarding complete vehicles, we have officially signed a contract with Mitsubishi to jointly enter the Australian and New Zealand markets, with production expected to begin in the second half of 2026. I believe this is a very important step for Hon Hai Precision Industry in its EV development. The launch of Model B crossover SUV, in which I think you are all very interested, is now in the final stages of preparations and is scheduled to be completed in Q4 of this year. As for the Model C, it has entered the North American certification process, and we are actively preparing for its entry into the North American market. In terms of battery, the construction of HeFa Battery Plant in Kaohsiung has been fully completed and is now in the mass production stage. Continuing to supply electric buses and electric commercial vehicles. In order to respond to the increasing demand from our customers, we are actively increasing the capacity of HeFa Plant. By the end of Q3 of this year, we aim to achieve a monthly battery production capacity of 25,000 grams. Finally, our electric bus plant in Qiaotou, Kaohsiung, is expected to obtain usage license in Q3, and will be ready for production by the end of the year. Overall, we have gradually realized the transition from layout to mass production in the EV field. We will continue to integrate the supply chain and expand the international market, promoting our layout in the EV industry. The next aspect is digital health development. I believe our layout focuses on the practical application of AI technology and integrates the Group's strengths in the hope of achieving greater synergy. First, we are actively deploying AI nursing collaboration robots and digital twin smart hospital scenarios. We are also introducing the MONAI models to advance the practical application of AI in healthcare. Currently, we have deployed Nurabot medical robots in collaborative healthcare settings. We also use digital twin models to simulate the operation of nursing stations and patient flow, helping to optimize operational efficiency and medical quality across the hospital. Secondly, in terms of digital medical transformation, we are simultaneously promoting lab automation and medical digital transformation. We anticipate opening a new laboratory in Q4. We will also combine precise lab testing technology with existing distribution channels to lay a solid foundation for aging care and preventive medicine. In short, Hon Hai Precision Industry is actively building a new field of smart healthcare through the integration of AI technology and the Group’s resources to address the challenges of an aging society and continuously create new growth momentum. The next part is semiconductor development, about which I believe you are quite concerned. The overall layout is now advancing steadily. In terms of power semiconductors, we have started shipping SiC wafers to European automotive customers in Q2. Also, we have started cooperation with European electric drive system factories to develop next-generation SiC modules. We plan to introduce it to European vehicle manufacturers in Q4 of this year. In addition, the SiC module plant in Hsinchu is scheduled to obtain certification and enter mass production in Q4 of this year. For automotive microcontrollers, we have completed our verification program and will begin initial mass production in Q4 of this year. We are also continuing to invest in development of automotive vision and display applications, and overall progress is on track. Beyond automotive products, our power ICs have been successfully integrated into AI server cooling systems, effectively improving system performance. This demonstrates the continuous expansion of the application scope of our semiconductor technology. Regarding advanced packaging and global layout, we have signed MOUs with Thales and Radiall in France. We plan to establish joint ventures focused on the space industry and advanced packaging and testing businesses. In summary, these layouts will further strengthen Hon Hai Precision Industry's role in the global semiconductor industry chain and help enhance our long-term competitiveness in the automotive and high-performance computing fields. Next, I would like to share with you the progress of development of our three major platforms, which represent the third 3 of the 3+3+3 mentioned by the Chairman in his keynote in Computex. First, regarding smart manufacturing, I would like to explain how Hon Hai Precision Industry is integrating manufacturing with AI to realize the Chairman's vision of the AI Factory. Regarding the grounding of GenAI, we are integrating generative AI with design and manufacturing processes, leveraging the Genesis platform to conduct horizontal analysis and optimize decision-making. As the Chairman said, AI is not meant to replace humans, but to help us. By offloading the majority of repetitive tasks to AI, employees can focus on more creative endeavors. In terms of industrial humanoid robots, we utilized NVIDIA's Omniverse platform to develop multitasking collaborative industrial robots. These robots are trained using digital twin technology, which not only improves the flexibility of the production line, but also enhances productivity and predictive maintenance. Ultimately, AI grounding requires powerful supercomputing resources. We will leverage the Group's NCP supercomputing resources to train large-scale AI models and deploy them across various fields. Therefore, we also hope to integrate the AI platforms and Agent Store to form a complete ecosystem, enabling the continued replication and diffusion of AI's value within the Group. In general, Hon Hai Precision Industry is actively introducing AI technology into smart manufacturing, which will make our production processes more efficient and flexible, and lay a better foundation for future development. Next, let us move on to smart EV development. First, we have signed a joint development agreement with our German partner to create a brand-new AI software platform, EV.OS. I believe this is not just a technical collaboration. It is a crucial step in our EV software development. It will become the core foundation of future in-vehicle systems. Regarding modules, we continue to work closely with Middle East car manufacturers to build the next-generation electronic and electrical architecture, also known as EEA, providing smart cockpit and smart gateway solutions. Initial cross-module integration testing has been completed. Regarding the smart cockpit, we will further introduce AI technology to deepen the human-machine interface interaction, allowing users to easily complete operations using natural language without requiring precise instructions. Regarding the Internet of Vehicles, we are collaborating with key partners to develop 4G Automotive Communication Units, or TCU. This system has already been successfully installed in one million vehicles in the first half of this year. We are making steady progress towards the goal of eventually installing it in 30 million vehicles. Finally, regarding smart city, we are actively promoting the CityGPT platform to the international market while continuing to establish roots in Taiwan. Regarding Overseas Cooperation and Expansion, our cooperation with Mexico continues to advance, and we have begun more discussions with enterprises from the Philippines, hoping to bring our Smart City AI solutions to more international cities. In Taiwan, we will continue to deepen our collaboration with Kaohsiung City, forging application collaborations in various fields, including traffic safety, government governance, and digital health. Our goal is to continue to lead domestic software manufacturers in the development of application services, using Kaohsiung as a model for smart city applications to drive the development of Taiwan's software industry. At the same time, we hope to continue to expand our solutions to more cities and counties, including Taipei, Yunlin and Tainan. We look forward to working with more cities and counties to create smarter and more convenient urban life. That concludes my three-part presentation. Now, let me hand the floor over to James, who will share with you the recap of recent major events.
James Wu:
Investor Relations Associate: I am going to share with you a recap of a few recent major events. First, at Computex, the Chairman shared Hon Hai Precision Industry’s vision for AI Factory and explained how this plan will become the core foundation for the operation of the Group's three major smart platforms. Furthermore, at Hon Hai 2025 AGM at the end of May, we reviewed Hon Hai Precision Industry’s achievements in innovation and transformation over the past few years. We also confirmed a cash dividend of TWD5.8 per share, fulfilling our commitment to returning operational results to shareholders. Also, the Group held a joint investor conference in June. Through the Group’s investor conferences held once or twice a year, we provide you with a deeper understanding of Hon Hai Precision Industry’s layout and capabilities. Our research institute continues to demonstrate strong R&D capabilities. In Q2 alone, we published 15 international conference papers and 25 journal papers. We have also achieved numerous breakthroughs and achievements in quantum technology and AI. For example, we have presented at a leading optoelectronics conference; our quantum cryptography research has been accepted by a top conference; and we have published advanced chip research focusing on key components for AI servers. Our new multimodal trajectory prediction model won the first place in an autonomous driving competition. We have been organizing diverse public welfare activities around the world, hoping to bring about positive change in society and the environment. For example, we launched a project in Mexico to combat plastic pollution. We held a beach cleanup event in Wisconsin in the US. We also held a calligraphy competition in mainland China for cultural exchange. In Europe, our Czech campus celebrated its 25th anniversary. I believe these are all examples of the Group's commitment to community engagement. In terms of promoting ESG, we have facilitated many collaborations between industry, government, and academia. For example, we have been promoting coastal biodiversity initiatives in Taiwan for three consecutive years. We are currently collaborating with National Taiwan University to promote “Sustainable Ecology Satoyama School” to protect the biodiversity of Taiwan's mountain forests. In addition, we are collaborating with New Taipei City and local communities to carry out local ecological conservation actions. To enhance the capabilities of our supply chain, we have partnered with CommonWealth Magazine Sustainability Alliance to empower our supply chain, allowing everyone to contribute to sustainability. We have officially released our second Supplier Responsibility Report and the latest TCFD Net-Zero Strategy Report. Please refer to our official website for details. Next, let us talk about Hon Hai Education Foundation. We continue to promote a number of programs to support disadvantaged groups and enhance technology education, including Starlight Program, Summer High School Quantum Camp, Hon Hai Technology Award, and Hon Hai Scholarship. Our goal is to expand these high-quality educational resources to a wider range of fields and communities. Also, this year marks the third year of our internship program. We have selected 18 interns from 1,000 outstanding students. We hope that these interns will participate in the actual operations at the Chairman’s Office and experience Hon Hai Precision Industry’s innovative culture up close. In terms of awards, we debuted in the S&P Global Sustainability Yearbook this year and received the Industry Best Improver Award, demonstrating that we prioritize sustainable operations in addition to operational performance. Hon Hai Precision Industry was also named Asia's Best Employer Brand for two consecutive years and was ranked sixth in the Czech Republic's “CZECH TOP 100” list of the nation’s 100 most influential companies. This demonstrates that we have received widespread recognition for our employee care, labor rights, and local development. You may have heard that Hon Hai Precision Industry has opened a showroom in its Neihu office building. It has been open to the public since last year, showcasing numerous products, global layouts, and prototypes of EVs and low-orbit satellites. Of course, these products will continue to evolve over time, so we once again invite everyone to make a booking for a visit. Finally, our annual event, Hon Hai Tech Day, will be held this year at Taipei Nangang Exhibition Center from November 21 to 22. The focus will be on the deep integration of three smart platforms and AI technology. We will showcase our latest achievements in AI Factory, robotics, and FoxBrain. Continuing last year's enthusiastic response, the second day of the event this year – which is a Saturday – will be open to the public, while the first day will be invitation-only. Government agencies and school groups are especially welcome to attend. Guided tours will be provided onsite, allowing everyone to gain a deeper understanding of Hon Hai Precision Industry's technological strengths and future plans. We hope you will all join us for this exciting event.
Kathy Yang: Regarding the impact of tariff changes, I would like to explain it from several perspectives. First, tariffs are indeed a major challenge that enterprises around the world are facing. However, I believe the real challenge lies not in the tariffs themselves, but in the volatility of these policies. This puts a real test on companies' ability to respond quickly. Manufacturing, unlike other industries, cannot be simply relocated. Global layouts require advance planning, not a wait-and-see approach. Hon Hai Precision Industry actually began planning these initiatives many years ago. Chairman Liu has previously shared that we established manufacturing centers in major regions years ago. Beyond manufacturing capabilities and components, we also place great emphasis on supply chain service capabilities. The Chief Financial Officer just mentioned this. Especially as the international situation becomes increasingly complex, the ability to coordinate and provide services in the supply chain is crucial. Our group's planning has proven to be sound. To date, we have over 230 campuses worldwide, and this number continues to grow. Furthermore, we maintain our own professional logistics teams, who are intimately familiar with local import and export regulations, in every major region around the world. We have also established a global, real-time customs monitoring system to complement our flexible logistics network. These capabilities enable us to quickly resolve customer issues and meet their needs. Through close and timely communication with our customers, we provide the best solutions. Hon Hai Precision Industry now has 150 locations in more than 20 countries around the world, all with our own teams and professional service capabilities in trade compliance and supply chain logistics. So, what sets us apart from other companies? We offer not only manufacturing, but also full-process service capabilities. We can communicate closely with our customers and quickly adjust supply chain configurations. This is also the confidence that allows us to remain calm when facing changing tariff policies. In the long run, while tariffs will pose certain challenges, they also provide us with opportunities to accelerate the optimization of our layout for the global supply chain. As we expand into new markets and serve a wider range of customers, I believe this presents a challenge and also creates long-term development opportunities. Overall, we are confident that we can transform this challenge into a competitive advantage. Kristen Fang Next, I would like to learn more about AI servers. As I saw in the presentation, the outlook for AI servers in Q3 remains quite strong. I would like to ask the CEO to share more about the demand for AI servers currently seen in the second half of the year, as well as the Company's involvement in sovereign AI projects. Is there any opportunity for further growth in the market share of AI servers in the future?
Kathy Yang: We see strong demand for AI servers, which has remained unchanged and is only growing. You can see the capital expenditure outlooks of several major CSPs, which appear to be continuously increasing. Coupled with the ongoing rollout of sovereign AI projects by governments around the world, this clearly demonstrates that overall AI production capacity and the industry are in short supply. Therefore, the Group is actively expanding production capacity to meet rapidly rising market demand. Our client base is diverse. In addition to having multiple major CSP customers and a significant market share, we participate in large- scale sovereign AI projects. Our recent strategic alliance with TECO is particularly noteworthy, further enhancing our added value in the AI server supply chain. We hope that this strong partnership with TECO will allow us to expand beyond AI server manufacturing and whole rack delivery to modular data center construction, enabling us to provide our customers with a more complete solution. Everyone cares deeply about market share. We have always been a co-developer of new products with major customers, ensuring our involvement in the development of next-generation products and even those of the generation after the next. Therefore, I believe we will always be there for these customers at every critical stage and with every important product. Every iteration of our AI server racks presents us with new opportunities, allowing us to secure new customers and new orders. In the medium to long term, I believe the development trend of modular data centers will help accelerate the shipment of AI server racks. We expect that as the overall market scale expands and our production capacity increases, our market share in the AI server sector will continue to increase. In general, from what we just discussed, whether it is the demand, the supply, or our own competitive advantages, we are very confident in the development of the AI server business. This is highly consistent with the expected performance in my presentation just now. Kristen Fang The third question is about exchange rates, and I would like to ask the Chief Financial Officer. We just reviewed the Q2 financial results, and the impact of exchange rates appears relatively manageable. How does the Company view the impact of exchange rates on revenue and profit in Q3? Do we still maintain our goal of keeping full-year operating profit margin roughly flat as the same period last year?
Chiu-Lien Huang: At our last investor conference, we mentioned that every TWD1 appreciation would impact our revenue by approximately 3% and our gross profit margin by approximately 0.1 percentage point. This assumption remains valid to date. For Q3, if we estimate that the exchange rate of US dollar against Taiwan dollar is at TWD29, compared to approximately TWD32.3 in the same period last year, the US dollar depreciates by approximately 10%. This will have a certain negative impact on our gross and operating profit margins. However, we will continue to mitigate the impact on our operating profit margins through revenue growth and expense management. The Taiwan dollar has been relatively stable recently. At the same time, within our overall operational strategy, we will continue to leverage economies of scale to optimize procurement and increase automation to control operating costs. Therefore, we maintain our target of maintaining a full-year operating profit margin roughly flat as last year.
James Wu:
Investor Relations Associate: I will invite Sharon, an analyst at Morgan Stanley, to ask a question. Participant I have two questions I would like to follow up on. The first one is about the production of AI server racks, and the other is some updates on Hon Hai Precision Industry’s investment progress in the US. First, what production bottlenecks is Hon Hai Precision Industry currently facing in the assembly and testing of its AI server racks? When do we expect rack deliveries to increase significantly and reach over 3,000 racks per month? Yesterday, some of our peers mentioned at their investor conference that they are seeing some impact from the transition between older and newer models. Will we see the same impact? In which quarter of this year will we likely see the effects of this transition? My second question is about an update on Hon Hai Precision Industry’s investment progress in the US. According to our estimates, based on the Company's announced projects, Hon Hai Precision Industry has invested a total of USD1.5 billion in production-related projects in the United States since July of last year, primarily in AI servers. Is this figure roughly correct? I would also like to ask Kathy to update us on the amount, projects, and locations of Hon Hai Precision Industry’s future investments in the US, in line with current customer needs and plans.
Kathy Yang: Q2 will mark a major turning point in the production of AI server rack systems. Significant breakthroughs and yield improvements have been achieved in production, assembly, and rack testing. For the production and testing of AI server racks, we will continue to improve efficiency through automation, accelerating the expansion of our global production capacity to meet our customers' needs for urgent delivery. Production and shipments throughout Q3 will continue to rise significantly compared to Q2, with full-quarter shipment growth projected to reach as high as 300%. While we are mass-producing the current generation of AI server racks, we are already preparing for production of our customers' next-generation racks. Based on the experience accumulated over the past year, I believe the production and yield improvement of the next-generation racks will be smoother. As you can see, AI servers are poised for strong growth in Q3 and will continue to do so in Q4. To answer your question whether it will feel like a window period, the answer is no, it will not. We have the technology and capabilities to make excellent arrangements. That is my answer to the first question. The second question is about our layouts in the US. We have actually been making deployments in the US for many years, with a presence in 12 states. Our business covers the four major product areas. Over the past year, due to overwhelming customer demand for AI servers, our investment in AI servers exceeded the amount you just mentioned. We already have server manufacturing facilities in Texas and Wisconsin. Given the visibility of AI server production over the next one to two years, we will continue to expand production in Texas and Wisconsin, including production capacity for AI servers, liquid cooling, and testing. Additionally, we have campuses in Ohio and California, as I just mentioned, where we will be increasing our production capacity for Cloud and Networking- related Products. Through these layouts, we are meeting the strong demand from our customers.
James Wu:
Investor Relations Associate: Angela from KGI, please raise your question. Participant I have a follow-up question related to AI. My first question is about recent reports of strong AI demand from major customers. The capital expenditures of CSP are also increasing significantly. I believe that Hon Hai Precision Industry's global campus layout actively responds to the strong customer demand. Financially, the Company saw capital expenditures of approximately TWD77 billion in the first half of the year. Previously, the Company's annual capital expenditure outlook indicated a 20% YoY increase, which translates to approximately TWD160 billion or TWD170 billion. I would like to ask if there have been any further adjustments to the projected amounts. Do you have a plan for next year's growth? My second question goes back to the presentation just now, which showed over 60% YoY growth in AI servers in Q2. Could you provide the percentage of AI revenue that was generated? The previous guidance indicated a 50% growth target. I would like to know if the actual figures are going in that direction. One of my peers just asked about Q3, and it sounds like there was little impact from the transition from older to newer models. I would like to ask, given that the design differences between the 200 and 300 models appear minimal, what is driving the customer's thinking? Is the transition to the 300 or 200 models simply a matter of chip ordering in the booking process, or are there other considerations regarding computing power requirements? Also, regarding the GB300, from Hon Hai Precision Industry’s perspective, when is the likely timeframe for ramping it?
James Wu:
Investor Relations Associate: The first question about capital expenditure will be answered by the Chief Financial Officer.
Chiu-Lien Huang: In the first half of this year, our capital expenditures grew by approximately 22% compared to the same period last year, consistent with the over 20% growth we last disclosed to investors. For now, as far as internal planning is concerned, the Company's growth target of capital expenditure for 2025 remains unchanged, which is above 20%. That of capital expenditures for next year is not yet available. We believe that global demand for AI cloud computing is still rapidly increasing, and the trend toward regionalized production is still gaining momentum, necessitating continuous deployment in multiple regions, including the US. We will closely communicate with our customers and make necessary investments based on their actual needs.
James Wu:
Investor Relations Associate: Regarding the proportion of AI servers in server revenue, we originally estimated it to be 50%. However, with Q2’s performance exceeding expectations, our target of over 50% has easily been reached. The second question is about the progress of transition from old to new products. First, we cannot comment on individual products, but we can say that overall, customers are eager to get these racks as soon as possible. Therefore, there is strong demand for both existing and next-generation products. CEO Kathy just mentioned that, after gaining the experience from mass production of existing models over the past year, we are very confident in the next generation of products. We do not foresee a transition period or throes of it between the old and new products. Overall, these two can be considered products from the same series. As we mentioned earlier, overall demand and shipments of AI servers are increasing quarter by quarter this year. Participant I have two questions. The first one is about ASIC AI servers. I remember the Company previously stating that GPU AI servers accounted for approximately 20% of AI server revenue. However, since the Company has been shipping more GPU AI servers with higher unit prices this year, GPU ASIC may account for a smaller proportion. Will annual revenue still be around TWD100 billion or TWD200 billion? What are the Company's plans and outlook for this market? Will market share increase? Will we have new customers or new projects with existing clients? My second question is, the Company previously announced the disposal of machinery and factory buildings in Ohio in the US. First, will this impact the delivery of the EV Model C in the US in the second half of this year? Second, could you share some background and details on this transaction? There seems to be little public information available about the buyer, Crescent Dune. Is this related to sovereign AI and its partnering enterprises investing hundreds of billions of US dollars in data centers?
Kathy Yang: You mentioned ASIC AI servers. Let me first address the revenue figures you are concerned about. By 2024, 20% of our AI server revenue came from ASIC solutions. While the rapid growth of GPU AI servers with high unit prices might have impacted or adjusted the share of GPU, the ASIC market itself is growing rapidly. Therefore, we believe that its absolute revenue will remain very substantial. We have actually been undertaking customer-developed AI chip servers for a long time. Therefore, we currently have collaborations with major CSP clients for ASIC servers. We provide more than just servers; we offer comprehensive vertical services that include motherboards, servers and rack systems. This is our core competitiveness and the value that our customers prioritize. So, we are not just making servers. More importantly, we are meeting our customers' needs for system-wide vertical integration. To address these needs, in addition to providing production capacity in the US, we are currently building liquid cooling test systems to meet our customers' needs for the production of next-generation liquid-cooled ASIC server systems. We see a clear trend in which, as demand for GPUs surges, more and more customers are developing their own ASIC solutions to match the GPUs. This market is growing rapidly and is a significant source of growth for our AI servers. Regarding customers, our ASIC customer base has been continuously expanding. Over the past two years, we have added new customers and new ASIC projects, covering three CSP customers who are actively involved in ASIC development. Based on our advantages in technology, production capacity and customer relationships, we expect the growth of our ASIC AI server business to outperform the industry average. In short, ASIC is a very important growth engine for our AI server business, and Hon Hai Precision Industry will be the primary supplier. To conclude my answer to your question, we are very optimistic about the prospects for development in this field.
James Wu:
Investor Relations Associate: I will answer the second question, which concerns adjustments to the asset acquisition method for the Ohio campus. In the face of a rapidly changing industry environment, this approach best aligns with the Company's 3+3 long-term development strategy and allows us to capitalize on market growth trends. The goal is to enhance our financial flexibility and improve operational efficiency while balance Hon Hai Precision Industry’s active development of its EV business and cloud and networking products. The Model C plan remains unchanged. For our orders from US customers, the products will initially be manufactured in Taiwan, but our goal of manufacturing in the US remains unchanged. We will continue to search for more suitable locations for Model C production in the US. I believe the US will remain a very important automotive market in the future, and we have profound partnerships with both customers and suppliers there. We should have more progress to share in the coming months. The funds raised from this asset revitalization will continue to be used to expand investment in the US. As for our Lordstown campus, we will continue to advance operations and produce products for our customers. The products are primarily focused on the fast- growing and highly potential cloud and networking sector. The demand driven by AI continues to increase. Our market share is virtually certain to continue to grow, and we will continue to deepen our presence in the US to meet this growing demand. We will provide further details on concrete plans as they become available. Participant It was mentioned earlier that this year's Tech Day might feature a humanoid robot related to AI Factory. NVIDIA recently released a new robotic reasoning vision model. Could you please explain the collaboration between Hon Hai Precision Industry and NVIDIA in the robotics field? Also, could you elaborate on any special exhibits from both sides at this year's Tech Day?
James Wu:
Investor Relations Associate: Robotic vision-language technologies are currently very popular in the robotics field, but there are many different solutions available. We are closely following developments in this area. NVIDIA is a very important partner for us at AI Factory. In addition to our own efforts, our robotics partners also work closely with NVIDIA. Therefore, we will increase our investment in automation and robotization to elevate the level of smart manufacturing. As for technology, I am sure you all know that we have been collaborating closely with NVIDIA in the field of robotics, particularly on the development of humanoid robot brains. We have jointly trained multi-skill AI models and deployed various types of humanoid robots in factories for applications. This year at Hon Hai Tech Day, we will once again showcase our latest generation of humanoid robots and a real-world application example. We welcome everyone to visit and share their insights. Participant My main question is, the Group mentioned at a shareholders' meeting that a Japanese car manufacturer will soon become a customer of Hon Hai Precision Industry’s EV, with rumors swirling that it is Fuso. Hon Hai Precision Industry’s Model T will be exported to Japan. Could you give us a sneak peek at the details of this partnership?
James Wu:
Investor Relations Associate: After we signed a formal contract with Mitsubishi at the end of June, numerous Japanese car manufacturers have expressed interest in Hon Hai Precision Industry's EV models, CDMS contract design and manufacturing service business model. Our Chief Strategy Officer has held a briefing to explain the Group's EV strategy in Tokyo last quarter. He specifically stated that we will assist Japanese car manufacturers in developing more EVs, including passenger vehicles based on the Model A, as well as electric buses and minibuses. We believe we will be able to share the good news about our second customer soon. We have seen intense competition in the EV market over the past year or two, and brand customers' demands for smart EVs have become increasingly diverse. We possess comprehensive capabilities across the entire EV sector, from design and component manufacturing to software. This represents a unique solution within the EV industry. Therefore, whether it is platform licensing, joint development, or contract manufacturing, we will remain flexible in all forms of collaboration, making decisions based on the needs of both parties and their complementary strengths. Our goal is to help brand clients achieve the shortest time to cost and time to market, enabling them to compete in the global market. Participant I have a few questions. I saw the Company's guidance showing 170% YoY growth in AI Server revenue in Q3. Am I reading that correctly? This means that AI servers will likely account for over 70% of total revenue in Q3. I roughly calculated that, following this guidance, Hon Hai Precision Industry's revenue for Q3 will exceed [TWD]2.5 [trillion]. Could you please explain why the AI server market is performing so well? The guidance provided by some ODMs a few days ago was not as favorable. Is there any change in the Company's approach with certain customers? My second question is about the [inaudible] iPhone, the [most important] product line. The Company's guidance mentioned that revenue may decline YoY, primarily due to the impact of the Taiwan dollar. They also mentioned ASP. Could I ask if there are any issues with ASP?
James Wu:
Investor Relations Associate: Regarding the growth of our AI server business, our overall production yield has gradually improved and reached a favorable level. Furthermore, we will gradually increase orders from both existing and new customers in this regard. As I just mentioned, every new product iteration will attract new customers and orders, so we expect our overall market share to continue to increase. This is the main reason we expect significant or strong growth in the AI server business in Q3 or Q4. Regarding the Company’s overall outlook, I believe the CEO mentioned in the presentation that our overall outlook on the Q3 consolidated revenue expects significant growth, and this remains unchanged. The second part is about our entire ICT product mix. As our CEO mentioned earlier, our ICT product mix is very diverse, so we cannot comment on a single customer or product. Smart consumer electronics products include mobile phones, game consoles, and TVs. In terms of shipment, the volume is very stable. Currently, we see a roughly 10% difference in tariff levels across Q2 and Q3 compared to the same period last year. This explains why, despite relatively stable volume across all product categories, revenue is declining. The primary factor is the impact of exchange rates. Here is a brief explanation. This concludes our investor conference today. Thank you all for joining us. If you have any further questions, please feel free to contact our IR team. [END]